Operator: Thank you for joining us today to discuss PARTS iD’s Fourth Quarter and 2021 Full Year Financial Results. On today’s call are Nino Ciappina, Chief Executive Officer; and Kailas Agrawal, Chief Financial Officer. I would like to point out that certain statements made during this presentation are forward-looking statements. These forward-looking statements reflect management’s judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting PARTS iD’s business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements included in our fourth quarter 2021 earnings release, which was furnished to the SEC today on Form 8-K as well as the company’s most recent annual report on Form 10-K and its other filings with the SEC. The company does not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events or otherwise. In addition, the company plans to refer to certain adjusted non-GAAP metrics on this call. Explanation of those metrics and reconciliations of GAAP metrics to those non-GAAP metrics can be found in the earnings release issued earlier today, which is also posted on the Press Releases page of our website at www.partsidinc.com. Finally, as a reminder a slide presentation is accompanying today’s prepared remarks. This presentation is viewable for the webcast link located at www.partsidinc.com.  With that I’ll turn the call over to Nino Ciappina, Chief Executive Officer of PARTS iD. Nino.
Nino Ciappina: Good afternoon. And thank you for joining us. It’s great to reconnect with you today to share the details of PARTS iD’s, fourth quarter and full year 2021 results. Before we begin, I want to spend a moment to acknowledge our colleagues in Ukraine. As many of you know, PARTS iD has strong ties to Ukraine. It is home to many of our independent contractors. On behalf of the entire PARTS iD organization, I want to express our concern for the safety and wellbeing of our teammates in Ukraine and our sympathy for everyone who has been personally impacted. Our colleagues have demonstrated perseverance, courage and devotion to our company despite these difficult circumstances, they continue to inspire us. Our thoughts are with them during this challenging time. Moving on to a business overview, since PARTS iD has only been a public company for a little over one year, many investors are still new to the story. Therefore, I’d like to take a few minutes to provide an overview of our business, the technology platform, our operating model and of course our vision and mission. PARTS iD is a technology driven, digital commerce company on a mission to transform the $400 billion plus U.S. auto after-market and the $100 billion plus adjacent complex parts markets by focusing on the customers’ needs and using purpose-built technology and data to create custom infrastructure and unique user experiences where customers can quickly and easily find all the parts and accessories they need, get customer support by highly trained agents and be so satisfied with their experience shopping this category that not only will they come back in the future, but they will tell their friends and families too. We work to achieve this through our platform business model, which brings together over 1000 industry suppliers, more than 5,000 brands, approximately 18 million product skews and over 14 billion product and fitment data points. The technology platform integrates software engineering with catalog management, data intelligence, mining and analytics, along with user interface development, which utilizes distinctive rules-based parts fitment software capabilities. To handle the ever-growing need for accurate product and parts data we utilized cutting-edge computational and software engineering techniques, including Bayesian classification, to enhance and improve data records and product information and ultimately to contribute to the overall development of an engaging user experience. Furthermore, the technology is architected to support much more than just car parts and accessories. We demonstrated the flexibility and scalability of the technology by launching seven adjacent verticals, including BOATiD.com, MOTORCYCLEiD.com, CAMPERiD.com and others in August 2018, all of which leverage the same proprietary technology platform and data architecture and with a unified shopping cart, enabling customers to shop across all eight verticals and check out seamlessly using one card. There are several key points that highlight the attractiveness of our platform business model and underscore how PARTS iD is distinguished from the competition. First, our distinctive technology provides accurate fitment data, which enables a successful experience for the auto parts, consumer and supplier, unlike any other consumer product category, the success or failure of selling auto parts and aftermarket accessories comes down to fitment data that sellers like us add to our product offerings. Fitment is the compatibility of each part and accessory to each specific vehicle year, make, model, engine type, trim and more. Having fitment data that is accurate, complete and in the right format for each channel is crucial to a superior user experience and a successful customer transaction. Furthermore, our proprietary technology enables us to test and add new product lines and brands rapidly. Second, our product catalog of approximately 18 million product SKUs and over 5,000 brands is, is unrivaled. Our comprehensive catalog is enriched with nearly 14 billion data points related to vehicle parts, advanced 3D imagery, in-depth product descriptions, customer reviews, installation, and fitment guides, as well as other rich custom content created in our in-house studio, specifically catering to the needs of the automotive aftermarket industry and is further complemented by highly trained and specialized customer service. Third, our proprietary and capital-efficient fulfillment model allows us to grow organically without the need for additional capital. Our network of over 1,000 vendors has enabled us to scale our catalog size quickly and add adjacent verticals unlike traditional players that have more capital intensive businesses. We can test and add new product lines and brands quickly without tying up capital and without worrying about inventory obsolescence. Furthermore, our geo optimized fulfillment algorithm determines which product vendor to buy from while the sale is being made and incorporate factors such as real-time inventory from our fulfillment network, customer proximity, shipping cost and profitability. This algorithmic approach allows us to increase fill rate and delivery speed. Fourth, our enhanced customer experience is a result of rich content, wide product range with ease of selection, proprietary fitment data, and highly trained customer service representatives, providing a data driven engagement platform for discovery and inspiration. This has demonstrated by one, our catalog size, which contains approximately 18 million product skews. Two, despite the supply chain disruptions in 2021, our Net Promoter Score reached a high of 70 in November and has continued to stay in that range. Three, our overall product return rate across all eight verticals continues to be approximately just 5% verse industry averages of more than 20% in a category as complex as parts and accessories, this is truly incredible and underscores just how effective our technology and data are. Fourth, but certainly not least repeat customer revenue, which is defined on this slide represented 38.4% of total revenue in 2021. This is a record for the company and is up 420 basis points over 2020. We have invested over 10 years building our platform and it’s not easy to replicate. In fact, our investment in technology and data is arguably the deepest competitive moat around our business. And it has allowed us to expand into adjacent verticals leveraging a capital efficient just in time inventory model to offer the consumer an extensive selection and experience. With that background, I’ll walk through the key highlights from the fourth quarter and full year 2021 and then I will turn it over to Kailas for a review of the financials. After Kailas finishes, I will cover the opportunities where laser focused on to drive growth and the strategic initiatives we’re executing against to capture that growth. After that, we’ll open the lines of questions. Slide 5, please. Slide 5, please. As you can see here, despite all the supply chain turbulence in 2021, we thrived. Year-over-year, we delivered double-digit growth on a quarterly and full year basis. In addition, our full year 2021 revenue was nearly 56% greater than in 2019. This is a tremendous achievement that speaks to the resiliency and talent of our organization, not to mention the scalability of the investments we have made over many years in technology, infrastructure and process. Furthermore, it’s clear our strategic initiatives are working for us. As you can see in the improvement of KPIs like conversion rate, which increased 11.3%, average order value, which increased 12.9% and repeat customers, which increased 440 basis points. Repair parts including original equipment is playing an important part in our growth as are the adjacent verticals, including Boating and Marine, Motorcycle and Powersports, and RV and Camper. What’s most humbling is that we recognize we have only just scratched the surface in these categories and verticals. Turning now to Slide 6. Slide 6, please. Well, starting with the onset of the COVID-19 pandemic, the last two years presented uncommon challenges for us and the entire industry. The role out of vaccinations in 2021 helped kickstart the normalization process, though the global economy is still working through the aftershocks of the pandemic. Supply chain disruptions impacted economies everywhere do in part to repeated factory closures and port backlogs around the world. These cascaded into global inventory shortages and widespread inflation. However, our team met these challenges head on by leading into the advantages and flexibility of our platform business model. For example, to mitigate the impact from product availability shortages, we adjust our sourcing logic to alternative vendors with better inventory positions. Simultaneously, we are partnering with select vendors to reserve inventory based on our projected demand. In times like these, when inflation is pervasive in the economy, we work with suppliers to hold down the cost increases to the extent possible and where necessary we pass some of these increases on to retail prices. One notable and clear advantage of our platform business model is the breadth of similar products available to a consumer to trade down the product volume spectrum as prices increase. By offering customers option down the value spectrum during times like this, we can capture sales, which competitors with a stock and ship model may lose due to their limited product assortment and options. We are leaning into this on the platform and with our call center sales representatives. Next, as I mentioned earlier, PARTS iD has strong ties to Ukraine. It is home to many of our independent contractors. Fortunately many of them have been able to migrate to safer regions in Ukraine or to other countries and are continuing to work remotely. PARTS iD has no physical assets in the country, and fortunately we haven’t experienced any material disruption to regular business activities to date. We are closely monitoring the situation, both the safety of our team members and the need to maintain operations. As the situation continues to evolve, we’ll adapt with any needed temporary or longer-term adjustments as appropriate. With that, I’ll turn it over to Kailas for a review of the financials. Kailas?
Kailas Agrawal: Thanks, Nino. Good afternoon to everyone. Gross margin Slide 8. COVID-19 supply chain disruptions costs about 1% fall in gross margin. We were averaging 21.4% pre-COVID era. By the end of the next 12 months, we expect our gross margins to be exceeding 21.4% in line with pre-COVID era. We would like to remind that we have a capital efficient just in time inventory model. As we don’t carry the inventory, we don’t have a fulfillment cost in our operating expenses. Apple-to-apple comparison of our gross margin with the competition calls for adjusting their gross margin for their fulfillment cost. With the initiatives listed on this slide, we expect to progressively move the gross margin needle to 23% to 23.5% in next 12 to 36 months. Operating expense at Slide 9. While digital advertising markets are also seeing some price inflation, we are staying disciplined by varying to our ROI framework across to our various marketing channels. We also continue to innovate with new channels and are being very deliberate around where we invest across the marketing funnel to unlock the best efficiencies. Currently, our advertisement costs are variable as we heavily use performance based marketing. The other element of variable expenses in our SG&A is merchant processor fees for processing of credit card collections and fees for buy now pay later service providers. Legacy business combination expenses was one time cost. The public company costs are $4 million, which is being partially driven by D&O insurance costs. Balance sheet and cash flow are at Slide 10. Our capital efficient and inventory light model provides higher returns on capital employed by the company. This model enable us to expand in new lines of business and new markets without material investment in inventory and its product. We had $448.7 million revenue with just averaging $1.2 million of physical inventory on hand. Over to Nino.
Nino Ciappina: Thank you, Kailas. Slide 12. The markets we operating in are very large and they continue to grow. The specialty automotive equipment market in the U.S. was estimated to be a $48 billion market and it’s estimated that 52% of this market is online and it’s growing faster than brick from mortar. This is exciting for us because this $48 billion specialty segment includes interior and exterior accessories, custom wheels and performance products, which combines represent approximately 70% of our sales. The overall U.S. automotive aftermarket is estimated to be $439 billion. This is also very exciting for us, because we’ve invested heavily in growing our repair and originally equipment product lines and we’re seeing the results. We now have 34 major manufacturer brands, including Dodge, Jeep, Hyundai and Lexus, and approximately 2 million originally equipment product skews, which has significantly broadened our product selection to now provide customers with a diverse range of both aftermarket and originally equipment parts, all in a one stop shop platform. Next looking to the right of this slide is the estimated market size opportunity for the seven adjacent verticals we launched in 2018. Within these adjacent verticals, we’re focused on boating, power sports, motorcycle, and RV camper, which combines represent an estimated $20 billion of total addressable market annually. Other research suggests the market sizes are even larger than this. In addition, these verticals are highly fragmented and in most cases there is no dominant online leader. This presents a substantial opportunity for us. In 2021, we hired general managers to lead the boating and RV camper verticals, and we’re making progress developing them like we’ve done in the auto segment with CARiD. While we’re still in the early innings with these adjacent verticals, we believe these will become large sales contributors in the future. Earlier on the call, I stated that PARTS iD is on a mission to transform the $400 billion U.S. auto aftermarket and the $100 billion plus adjacent complex parts markets and that’s what we’re doing. We see a future where customers can quickly and accurately find and discover parts and accessories for all their vehicles and more on the ID platform. We believe we’re on the right runway for growth and that we’ve only scratched the surface of the markets we serve. Turning now to Slide 13. As you can see here, there are many market wins at our back, including one, the U.S. auto parts e-commerce market share is projected at over $22 billion by 2023. This is up from $16 billion in 2020. Two, the Specialty Equipment segment of the industry is forecast to growth to $55 billion by 2024 from $48 billion in 2020. In addition, as I said earlier, 52% of this segment’s retail sales are online in the U.S., and this is our core. Three, new and used vehicle sales are expected to increase. Four, miles driven is rebounding and soared in 2021 to 3.2 trillion miles, this is up 11.2%. Five, many of the adjacent industries we serve are experiencing continued growth. And finally, EV adoption is accelerating and we believe we’re well positioned to capture this emerging category with our platform business model. With that said, let’s turn to Slide 14, so I can elaborate on the EV opportunity. In the U.S. sales of electric vehicles jumped 83% in 2021. And by 2035, EVs are expected to increase to 26% of all U.S. light vehicle powertrain sales. For electric vehicles, the demand for accessories is projected to be much higher compared to repair parts. And with our extensive accessories product assortment, we are well poised to serve this increasing EV market. Our platform model allows us to capture shifts in consumer demand and to enter emerging and new product categories such as EV parts and accessories in a capital efficient way to build a comprehensive assortment with minimal investment in physical inventory. In November, we launched an EV Specialty Shop on CARiD.com. The specialty shop includes charging equipment, mechanical repair and maintenance parts, electrical parts, as well as popular accessories, such as body kits, performance suspension systems, and custom wheels and tires. The EV shops wide selection is compatible with many of the best selling EV models on the market today, including Tesla models, Nissan Leaf, Ford Mustang Mach-E, Chevy Bolt EV, Polestar 1 & 2, Hyundai Ioniq and Kona, Audi e-tron, Porsche Taycan and much more. We’re very excited about the EV growth opportunity. And as I stated, we’re aggressively leaning in to capture it. Turning next to Slide 15 for a review of our strategic initiatives and then we’ll open up the lines of questions. Slide 15, please. We continue to execute against our strategic initiatives and we’re orienting the business to succeed across each of these dimensions through a technology first approach and investing accordingly. Positioning our platform to adapt to the ebbs and flows in the macro environment. Our product catalog has grown to approximately 18 million product skews with many initiatives already underway to continue growing repair parts, originally equipment, electric vehicle, private label, and more. In our boating and RV camper verticals, we’ve achieved approximately 85% product coverage and we have dozens of niche and specialty vendors in the queue to be added this year. We remain bullish on the long-term outlook of our multi-vertical strategy. With regards to customer acquisition and retention repeat customer revenue increased 420 basis points to 38.4% of revenue in 2021. We believe there’s a lot of runway on the repeat customer side. Among our most important assets is a deep and growing data driven understanding of our customers and their behavior. In 2021, we on-boarded new email marketing and customer segmentation software. We’re also making investments of web analytics, conversion rate optimization, and brand positioning strategy. Next, we continue to make progress and pricing strategy. One, we created a new reporting and monitoring tool. Two, we updated the price policy on several key brands; and three, in other emerging categories, we identified further opportunities to improve our pricing strategy. Finally, on the technology and data end, we expanded our Shop by Service Type, and now this feature includes vehicle specific product groupings for more than 500 repair tasks. This is made possible through robust vehicle fitment data and service classifications using Shop by Service Type, the customer chooses the primary replacement item. For example, brake pads and the platform delivers a wide choice of results while also showing complimentary or optional items frequently needed. For example, brake rotors, brake fluid and even special brake tools. The benefit of this feature is that the customer can order all supplemental products at the same time, rather than later discovering that a necessary component is missing. All products found via our Shop by Service Type are guaranteed to fit the vehicle based on the year, make model as entered by the customer. You’ve heard us talk about the investments we have made across our operations, marketing and technology to build a unique and purposeful digital commerce platform for this complex category. The customer experiences will continues to drive every decision we make as we work to optimize it for the presence and for the future. And we remain excited knowing that we believe we’re just scratching the surface on our long-term potential. With that said, we can open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question today is coming from Maria Ripps from Canaccord. Your line is now live.
Maria Ripps: Great. Thanks so much for taking my questions and congrats on the strong quarter here. Could you maybe talk about your inventory availability more broadly and it seems like you’ve implemented a number of initiatives to improve your availability in Q4, but could you just comment on what you saw in Q4 maybe compared to Q3 and how are things sort of develop and as we are sort of here almost exiting Q1?
Nino Ciappina: Good afternoon, Maria. Thank you for joining us. Joining us for Q&A is our Chief Operating Officer, Ajay Roy. Ajay can fill this.
Ajay Roy: Yes. Hi Maria. Yes. So on the product availability or inventory availability; it continues to be an issue in 2022. However, as part of our strategy for 2022 there are a few things that we have done from our side. I did speak about it on the last call also where we were in the process of working with our top suppliers to reserve inventory without actually owning inventory. So we are using their locations as our supply points. But another thing that we have also done is where we are actually making the suppliers, which have highest product availability as a primary source. So for example, across some of our performance parts what we decided is to do is one of the suppliers where – who had highest product availability we made them our primary supplier. And in spite of the fact that some of the costs might be higher, but then of course we are passing that cost along to the consumer and availability, as you can understand is key, hence we have taken these steps.
Maria Ripps: Got it. Thank you so much. And then maybe one other question here. Can you just talk about your efforts to diversify your advertising channels? And I think you noted the lower conversion rate in Q4 sort of what’s causing that, is that sort of lower inventory availability again or – is it maybe, are there any other reasons there? And are there any initiatives that you’re sort of planning to implement to improve your conversion rate?
Nino Ciappina: Maria, I’ll take that question. So we have a number of, over the last year among other marketing initiatives we launched many. One, a series of social media campaigns across Facebook and Instagram with new video content. As I stated on the opening remarks, we invested in new email marketing customer segmentation software. We successfully migrated email subscribers from our legacy system, and we’ve already configured automated email programs to retarget non-con converting users. There is a lot of runway in these efforts. In search we continue to lean into automation to unlock efficiencies and achieve greater scale. And as I also said, most recently, we’re making investments in web analytics, conversion rate optimization and brand strategy and position on the conversion rate optimization side; we’re running a series of AB and multivariate tests. We think there is an opportunity to better showcase a number of call-to-actions and other payment options that can be compelling for the user to help continue to help continue finding ways to improve conversion rate.
Maria Ripps: Great. That’s very helpful. Thank you so much for the call.
Operator: Thank you. Next question is similar from Mike Baker from D.A. Davidson. Your line is now live.
Mike Baker: Okay. Hi. Thanks guys. So a lot of good color on the long-term potential, and it makes sense. What I wanted to ask you about a little bit is the profitability. You beat on sales and sales growth in the fourth quarter, but profits were down, I guess both for the quarter and the year. When should we think about profitability in dollars growing again on a year-over-year basis? How should we think about 2022, you say in the press release that you expect actions to gain traction? What does gain traction mean? Does that mean drive increased profit?
Kailas Agrawal: Thanks Mike. Last year...
Mike Baker: Hi.
Kailas Agrawal: So the profitability – on the profitability as you know, this year we got impacted by COVID disruptions. And as I stated in my call we almost lost 1% of the profitability because of that reason on the gross margin front. And also the advertising cost has been slightly up which reduce the profitability marginally. With that we already started the actions, we see that, okay, in the next 12 months, we should be able to gain back this one person ought to loss with actions, what we already taken. So these are what we believe is a short-term interruption, but the long-term story of us remaining intact and we remain on the long-term profitable growth.
Mike Baker: Okay. In that 100 base points you talked about, that’s on the gross margin line. How should we think about the cost leveraging some advertising or some of the other costs, the G&A that goes into the cost lines?
Kailas Agrawal: So that 12% increase, what we talks about in the gross margin in advertising as already stated that we are doing various efforts to increase the efficiency further, but I would say it’s a long-term. Its advertising may not come immediately for us as a benefit, but we are on the right track to improve even the advertising efficiency as well.
Mike Baker: Okay. And then one more question, if I could. What are you seeing right now in your business? There has been a lot of concern as we start cycling stimulus, what that might mean for lower income customers? The situation that’s going on in Eastern Europe is obviously terrible and waterfronts are impacting you guys acutely, but or especially, but how are you seeing it impact consumers with gas, prices where they are, I mean, have you seen any change in the way consumers are spending in the first part of 2022?
Ajay Roy: Yes. So – yes, I think all the things that you are actually speaking about, some of them are very unfortunate. But we actually see the increase in gas prices as an opportunity for us. As you – as Nino was speaking about earlier during the call, with the increase in gas prices, you must have noticed that there is more popularity of EV vehicles. And I think we covered the EVPs quite in detail where we are already present for majority of the EV vehicles like Tesla, Ford, Chevy et cetera. And you understand our business. I think in our business, we are heavily focused on accessories. And for EV, we do feel that the demand for accessories will be much higher as compared to repair parts. And with our focus on accessories, we are definitely well poised to serve this demand. Now the other piece that I want to talk about specifically around gas prices – increase in gas prices is, in 2021, not only did we invest heavily into the repair and the OE segment, but we also actually had a huge amount of success and we grew both of those categories by double digit. The reality is, yes, they will – there are price increases, there are increased gas prices. But if a car is broken down, whatever is the price, a consumer will be buying their repair parts. So I think that is another area which gives us an opportunity to tap into this segment. And lastly, I think we do understand that accessories is more of a discretionary buy. But as I said, from a repair segment perspective, we are well shielded. Even though there are any increases, we will be passing that along to the consumer to make sure that we – while we remain competitive, we are also managing our cash position.
Mike Baker: Yes. Okay. And then one more, if I could, just to follow up on that last point in terms of passing prices through, which are in the year, you were absorbing some of the higher shipping costs. You – it sounds like now you’re passing that through, what kind of pushback have you seen from consumers? Any kind of statistics on cart abandonment or anything like that as you’re now passing through some of the higher shipping costs?
Ajay Roy: There has been a limited impact as frankly speaking, in terms of card abandonment. And frankly speaking, the shipping cost increases not just for PARTS iD, it’s for the industry and the industry is passing along the cost. One of the things that I want to point out here is specifically around some of the vendor negotiations. I think while there has been increase in the shipping cost, one of the things that we have actually done with the vendors is we have negotiated volume-based discounts. So rather than reducing the cost or the part right away, we have – we give them short to medium-term forecast. And based on hitting those numbers, we get a refund or a cash back from them. So that is something that is a key component, which goes into – which goes into our overall product pricing and basically the total landed cost that we are giving to the consumer. And lastly, I think another initiative that we invested heavily in 2021, and we are on the path to actually roll it out to majority of our vendors is the LTL program. So as you understand, on the large parcel products, because of the shipping cost increases, I think it’s difficult to actually maintain competitiveness. So we actually invested into our LTL program, which gives us an opportunity to work with regional carriers and get the most competitive rates at – and also speed at which we want to serve our customers. So we already onboarded our first phase of customers – our first phase of vendors on this LTLs and we continue to – and we are continuing to work on this. So these are the three levels that we feel which will help us – of course, other than passing cost, I think there are also operational efficiencies or operational leverage that we are creating internally to help us manage the business.
Mike Baker: Okay, yes. Sorry. Appreciate the color. Make sense.
Ajay Roy: Thank you.
Operator: Thank you. We reached end of our question-and-answer session. I’d like to turn the floor back over to management for any further or closing comments.
Nino Ciappina: Thank you to everyone for joining and for your interest in PARTS iD. A special thank you to all our customers, all our vendors, who continue to support us during the current environment. Our other business partners, shareholders, the investor community, directors and of course, our teammates around the world for their dedication and hard work in helping PARTS iD achieve so much success. We especially want to thank our colleagues in Ukraine. We’re praying for their safety and for deescalation and peace. And as discussed during today’s call, we have many opportunities in front of us to drive growth, and we remain optimistic on the long-term potential. We look forward to updating everyone on our progress again in May. Thank you again.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.